Operator: Good morning, and welcome to the SkyWest, Inc. Third Quarter Results Conference Call. [Operator Instructions] Please note this event is being recorded. 
 I would now like to turn the conference over to Bradford R. Rich, President of SkyWest, Inc. Please go ahead. 
Bradford Rich: Thank you very much and thank you to all of you for joining us this morning. Before we begin, let me introduce those who will be participating in the call this morning. First of all, we have Mike Kraupp who is the Chief Financial Officer of SkyWest, Inc.
 We also have Chip Childs, the President and Chief Operating Officer of SkyWest Airlines; Brad Holt, our President and Chief Operating Officer of ExpressJet; Eric Woodward, our Chief Accounting Officer, is with us as well as other members of our staff this morning.
 Before we begin, let me turn the time back to Mike Kraupp. He will read our safe harbor on forward-looking statement, okay? 
Michael Kraupp: We will be making statements during this conference call which are considered forward-looking. Such statements are based on our current beliefs, expectations, assumptions regarding future events and are subject to risks and uncertainties. Words such as expects, intends, believes, anticipates, should, likely and other similar expressions identify forward-looking statements.
 All forward-looking statements expressed in this call are made as of the date hereof and are based on information available to us at this time. We assume no obligation to update any forward-looking statement. Actual results will vary and may vary materially from those anticipated, estimated, projected or expected for a number of reasons including those discussed in today’s press release expressed during this call or as set forth in our 2011 Form 10-K and other reports and filings with the Securities and Exchange Commission. 
Bradford Rich: Okay. Thank you, Mike. To begin this morning, let me just take the opportunity first of all to express our thanks and gratitude to all of the employees of SkyWest, Inc. We are so grateful and very appreciative for all of the efforts. We have had some significant improvement both in our operational performance of the entities as well as our financial performance. It’s important that we recognize the efforts of all of our employees and those who are so committed and making this happen, and we’re very appreciative.
 Although our total financial performance and returns are not at our return objectives, we are very pleased this morning to report increases in both our operating and pre-tax income, both from the third quarter of last year as well as increases from the second quarter of 2012.
 We do remain very focused both on unit revenue improvement as well as cost reduction initiatives that are part of an overall profit improvement strategy. The results that we’re reporting this morning, I believe, are another indication that the plan is gaining momentum and will be successful.
 As usual, there is a tremendous amount of activity in the regional industry and the third quarter of 2012 was significant in many respects. I will take just a few minutes and review some of the things that I believe were some of the more significant highlights of the quarter.
 First of all, I mentioned previously the operational reliability of the entities, and again thanks and credit goes to our employees. We have continued improvement and overall strength in the operational performance of the entities, and that has translated into increased unit revenue by way of increased operational incentives at each of the airlines.
 Previously we had announced what I believe is a very significant transaction with Delta Air Lines, which involves the removal of 66 50-seat airplanes and us taking delivery of 34 dual-class airplanes.
 When we explained this transaction in our previous conference call, we indicated that of the 66 airplanes being removed, 41 of those aircraft are Delta-owned aircraft where SkyWest has no risk, which left 25 aircraft that we indicated were aircraft that we have the financial exposure to, we were confident that we could find an attractive solution for those aircraft. The missing piece that we were not permitted to announce or talk about in the last conference call was our newly signed and negotiated agreement with American Airlines, where we are transitioning 23 aircraft into the American system.
 We believe that is a significant transaction from many respects, not only a productive use of aircraft, but we’re delighted at the opportunity to begin a new partnership with American. The overall transaction, both the transaction with Delta and the transaction with American -- various aspects of both of those transactions are underway and the execution is underway. 
 We also previously announced a transaction with Mitsubishi. We announced that we had signed a Memorandum of Understanding for 100 MRJ aircraft. We announced that we were working on the completion of a definitive agreement. I would just make mention of the fact that our work there continues, and that we are in fact nearing completion of that definitive agreement.
 We also have significant discussions and continued negotiations underway with Pratt & Whitney, the engine supplier. At the same time, we are also continuing advanced and aggressive discussions with both Bombardier and Embraer. We recognized that we will also need additional equipment, at least we believe we will, as we continue to look for not only growth opportunities in the near term, but also continued re-fleeting and transitioning of our existing fleet, which will need to take place over the next few years. So we are having productive and continuing discussions, again with both Bombardier and Embraer.
 Let me just make a few comments about our stock repurchase program. We also previously announced that in our August Board meeting, the Board approved a share repurchase program that authorized an additional 5 million shares. I won’t go into all the details, but the fact that we remained in corporate blackout for a significant amount of the quarter, we were not able to begin execution of an additional repurchase program. But the shares are authorized, we remain committed to our share repurchase program. As always we will continue to base our repurchase decisions on market conditions, our own liquidity, but we do expect to be active in the repurchase area in the coming quarters.
 Let me just make a couple of comments about the impact of the recent storms, in particular Hurricane Sandy and as well as a projected storm that may come later this week along the eastern coast. Obviously we are concerned about the impact of this storm from many respects, first and foremost about the impact to the people involved and our hearts and prayers are focused on that, first and foremost and of course our concern for any of our employees who might have been affected.
 It also has had a significant impact on our operations. Most of you know that we do have a significant amount of concentrated operations on the East Coast, particularly in our ExpressJet operation; as near as we can tell at this time, it looks like we have somewhere in the neighborhood of 3,100 canceled flights, about 3,000 of those -- and by the way, I’m including both the impact of Hurricane Sandy as well as the projected cancels from the storm later this week. So our projection right now is that we will have in total around 3,100 total cancels, about 3,000 of those are coming in the ExpressJet operation.
 As far as financial impact, again it’s still early and we’re still gathering information, but the early indications are that this could have somewhere around a pre-tax impact of around $3 million on our fourth quarter performance. And then we will certainly be able to talk more specifically about that during our year-end conference call.
 Let me just make a couple of comments relative to the industry, maybe give just a little bit of SkyWest perspective on how we see the regional industry. There’s obviously a lot of activity, a lot of things going on everywhere from major carrier RFPs that are in the market to major carriers have scope discussions going on with pilots. We have a situation where we have some financially challenged peers or competitors. And although I am not going to go into a lot of detailed discussion about that, it is in fact creating a very dynamic and evolving sector of the industry. The comments that I would make are comments, first of all, of opportunity and I would say preparation.
 We know that we’re at a real important and critical time in the industry. What is most important to SkyWest is that we are prepared. We are doing the best and have been preparing for a long time for this particular situation. We’re been preparing financially, we’ve been preparing operationally and structurally, and I feel very confident that our people are prepared.
 There is opportunity and we are aggressively looking for ways to take advantage of the opportunity, and in total I would just describe it as optimism and the fact that we believe that at SkyWest we are prepared. Our balance sheet is in good shape, our liquidity is in good shape, our operations are very sound and we think we have some of the best prepared and positioned people in the industry to take advantage of these opportunities.
 Having said that, let me now turn the time to Mike Kraupp and he will review in more specific the financial performance of the quarter. 
Michael Kraupp: Okay, thank you Brad. Let me also start off by adding my thanks to all of our employees system-wide for their efforts in working to make us a better company with regards to both quality as well as financially. We do appreciate their continued efforts to ensure that we are offering the best experiences possible to our flying customers, as well as working to ensure that we are offering a cost effective service that will allow us to remain as an industry leader and continue to be competitive in this fiercely competitive business.
 Also we are fortunate and happy to be able to report continued progress on our efforts of returning to profitability by reducing our costs and yet at the same time improving the quality of our operations.
 This morning, we reported net income of $20.9 million or $0.40 in fully diluted earnings per share for the quarter ended September 30, 2012. That compares to net income of $0.1 million for the same period last year. This was a better result than the consensus estimate and is the third consecutive quarter where we have performed better than the estimates.
 Also in the press release this morning, we outlined a significant change in our operating revenues and expenses that’s resulting from how we have historically purchased fuel for our flights directly and have subsequently included them as direct reimbursements from our major partners, to the current situation today and going forward where our major partners now purchase the majority of the fuel directly.
 We do continue to purchase a small amount of fuel for our contract flying with our major partners, but anticipate that that will change in early 2013 with the majority or most of our contract fuel being purchased by those major partners. Having said that, you can see from the press release that our total operating revenues were $865.3 million for the quarter just ended compared to $955.4 million for the same period last year.
 We also disclosed that the majority of the reduction in operating revenues was due to an $88 million reduction in our fuel purchases which we had purchased directly and were then reimbursed by our major partners last year.
 In further looking at total passenger revenues and after excluding contract fuel reimbursements and engine -- reimbursable engine overhauls, passenger revenues did increase $6.2 million for the quarter just ended compared to the same quarter a year ago.
 This increase is the result of flying about 2% more block hours for the same period year-over-year. Actual block hours produced for the quarter just ended was 596,901 compared to 585,146 for the same period last year.
 The increase in revenue is also the result of some additional incentive revenue based on better on-time completion and customer service performance year-over-year. Our ground handling and other revenues did experience a slight decrease of $2.4 million as a result of reducing the number of cities or locations where we provide ground handling service.
 We continue to remain focused on our return to profitability plan and have made significant progress in this area. These efforts have contributed directly to the net income reported for the quarter just ended compared to only $0.1 million of net income for the same period last year.
 In addition, we've worked to reduce our flight crew cost and maintenance costs compared to last year, and made additional progress this quarter by lowering our crew costs by approximately $3 million in the quarter, and by reducing our maintenance cost by approximately $4.9 million in the quarter, after taking into account the engine overhaul reimbursements from our major partners, as well as taking into account the CRJ200 engine overhauls that are reimbursed at fixed hourly rates.
 From an overall perspective, we’ve been able to add roughly 2% in block hours, it's about 12,000 block hours in this quarter with little additional costs.
 On a combined basis, we recorded our share of losses with regards to our ownership in TRIP and Air Mekong of $4.7 million for the quarter just ended, and that compares to $5 million for the same period last year.
 Further to the sale of our TRIP’s -- the sale of our TRIP shares that we reported in July, we historically have recorded our share of the results on a 1-quarter lag. Since we reported our sale of TRIP shares on July 12, 2012, we will have the 12 days of TRIP’s results to further record. Additionally we continue to work with our external auditors regarding when we will be able to record the anticipated gain from the sale of our TRIP shares. And this was based on the conditions contained in the purchase agreement for those shares. No final determinations have been made at this point and as a result we’ve not recorded any anticipated gain at this time.
 Our remaining basis in Air Mekong is $1.3 million as of September 30, 2012, which mitigates any material downside from further losses related to the Air Mekong operation. Additionally Air Mekong is working on raising additional capital at this time and if they are successful, it would lower our ownership from 30% down to about 11%. We have decided to make no further investments in Air Mekong at this time.
 As a result of these previously mentioned items, our pretax income of $32.9 million for the quarter just ended compared to pretax loss of $2.1 million for the same period last year. We should note that there was a negative $5.7 million pretax adjustment in last year’s quarter results and was simply a purchase accounting adjustment which reduced the gain recorded on the purchase of our Expressjet acquisition in late 2010.
 On an entity level basis, SkyWest Airlines generated an increase in pretax income of $15.2 million and ExpressJet generated an increase in pretax income of $13.7 million, and there will be more detail surrounding that as we file our 10-Q later this week.
 With regards to the balance sheet, we ended the quarter with $739.1 million in cash and marketable securities. That was an increase of about $92.6 million from our year-end balance. Additionally cash and marketable securities increased $109.6 million from our second quarter ended June 30, 2012.
 We made additional lease and debt -- we have additional lease and debt payments that are due in December of this year. However, we do anticipate ending the year in December with a cash and marketable security balance of slightly over $700 million or up roughly $50 million from year-end.
 Our book value per share at the end of the quarter was 26.78 and our cash and marketable securities per share was 14.42 at the end of the quarter. Also since we’re in the process of quantifying the full impact of the recent hurricanes and storms we’re not going to make any changes to the previous estimate -- ASM estimate that we had provided for you folks. We’ll have to update you later on that because that is unknown at this point in time.
 At with that Brad, I’ll turn at this time back over to you. 
Bradford Rich: Okay. And we’ll now just open it to you for questions. 
Operator: [Operator Instructions] Our first question comes from Savi Syth at Raymond James. 
Savanthi Syth: Just wanted to -- regarding the American and Delta agreements, what’s the timing of the aircraft moving out of your system and moving into your system? 
Bradford Rich: Okay. So let me first of all just give some specifics as to the timing of the 34 aircraft coming in. So we have the airplanes coming in kind of in 2 groups. There is 1 group of 18 that consists of 13 900s and 5 700s. 10 of those aircraft are already in the system beginning in September, the other 8 in October. And those are in service dates. Okay? So all 18 are in service by October, so already in the system. The other 16, 2 of the aircraft are coming in, in the fourth quarter, 6 are coming in the first quarter of '13 and 8 in the second quarter of '13. Okay? So those are the -- of the 34 aircraft coming in. And then the beginning of the American flying, the first of those aircraft are 12 airplanes at SkyWest Airlines that are coming in, in November -- right next week. 
Unknown Executive: They start November 14. 
Bradford Rich: Starting November 14. So we’re right at the beginning of that service. The remaining 11 aircraft will come in early in the first quarter and will be operated at ExpressJet. 
Savanthi Syth: All right. Great. And as we think of ASMs and block hours, how should we think about it, the impact of those changes? 
Bradford Rich: Okay. So I think mike has said given what we have going on right now with the changes in our production relative to the airplanes coming in as well as the impact of the storms, I think Mike wants to get a little better handle on our total production and then we will give updates as those number become a little clear to us. 
Operator: Our next question comes from Michael Linenberg with Deutsche Bank. 
Michael Linenberg: Just -- well actually a couple of questions. The American airplanes, 12 at SkyWest, 11 at ExpressJet. Are those all CRJ200s? 
Bradford Rich: Yes. 
Michael Linenberg: Will those 11 at ExpressJet, will those be the only CRJ200s at ExpressJet? 
Bradford Rich: No, we still have… 
Michael Linenberg: The ASA -- you have all the ASA stuff. 
Bradford Rich: All of the legacy ASA agreement. 
Michael Linenberg: That’s right, that’s right. Thanks. Mike, you gave us the year-end of just over $700 million and you kind of look at where your cash is right now. Is there any -- are you anticipating any share repo, is that in that number or do we have a couple of payments to -- some debt payments that come due? 
Michael Kraupp: Well we’ve outlined, obviously within those numbers, debt payments that come to us and that are quite heavy in the December timeframe. And I think back, with regards to Brad’s comments, I’ll just site a previous release that we put out when we announced our share repurchase program. It’s anticipated that we'll be in the market at some point here during the fourth quarter, not exactly sure when. So we will sort of leave that one at that. 
Michael Linenberg: Okay. Perfect. Then I want to just -- I think Brad, you alluded to -- I think you said a lot of RFPs in the market or there are a few RFPs in the market. Can you just -- can you go over some of those? I mean, I -- we know that there is a potential RFP at American, maybe the Eagle business, you've already picked up some. What else is out there? What should we be looking for? 
Bradford Rich: Mike, very good question. And so, I kept my comments there very general and we have to respect confidentiality. And in some cases, the confidentiality is even prohibitive from specifically indicating the existence of the RFP. So my comments are just to be general, to say that we see a lot of activity going on right now with carriers either looking to refleet or to add capacity or there are just various opportunities in the market, and we really can’t be more specific than that. 
Michael Linenberg: Great, fair enough. Just one quick one on the $4.7 million non-op loss at TRIP and Air Mekong. How does that split down between the 2 carriers? 
Michael Kraupp: $4 million for TRIP -- and then for Air Mekong. 
Michael Linenberg: Okay. $4 million for TRIP and then $700,000 for Air Mekong? 
Michael Kraupp: Yes. 
Operator: The next question comes from Glenn Engel at Bank of America. 
Glenn Engel: A couple of questions. One, can you talk about the prorate how revenues compare to last year and what profits did compared to last year? 
Bradford Rich: Sure. We will have Chip Childs referring to that question. 
Russell Childs: Hey Glenn, just real quick on the prorate side. Our revenues were off just slightly but we also have lower capacity. Our revenues for the quarter was $81.3 million this quarter compared to $85.7 million of the same quarter the previous year. And profitability was right about the same, slightly better margin this year than what we had last year. We optimized out of some of the lower performing cites and optimized into some other stuff. And so we feel good about the optimization and where our system is going forward and it’s performing pretty solid right now. 
Glenn Engel: Second question, on the maintenance side. Is this the new level or do you expect to get it down even further from here? 
Bradford Rich: Are you talking with regard to -- go ahead... 
Unknown Executive: [indiscernible] 
Bradford Rich: I was just going to say with regards to the -- just the expenditures spend or are you talking about overhauls? 
Glenn Engel: Both of them. 
Bradford Rich: Okay. All right. Well first of all, we would anticipate -- the guys have made very good results and efforts with regards to just the expense, items that will simply run through expense. We would anticipate that, that trend would continue. I will say though, it’s going to become less and less. If you recall a year ago, we’ve incurred the majority of our maintenance cost, sort of early in those early quarters and then our folks started managing that a little bit better. So I would think that we would -- for the fourth quarter, we’d still see some level of reduction although I would see that lessening. And then with regards to the engine overhauls, we actually anticipate that coming down in the fourth quarter. We just spent 13.1 in this quarter; we’re estimating 8.5 for the fourth quarter and then estimating revenue that we would take in of about 8.9. So that should be our first quarter where we actually turn slightly positive, where revenues are again in excess of costs. 
Glenn Engel: And you are looking to be relatively neutral next year? 
Bradford Rich: That’s correct. Revenue neutral to slightly positive, yes. 
Michael Kraupp: Relative to slightly positive. 
Glenn Engel: How long are those American leases for? 
Bradford Rich: The remaining debt -- they are actually all debt-financed aircrafts and it’s 4 years. So they are very coterminous with the term of that American agreement. 
Glenn Engel: And I know you don’t have anything for the fourth quarter, but can you -- ignoring the weather effect, a broad range of what you would expect capacity growth to be in 2013? 
Unknown Executive: Well, okay so in 2013, I mean it’s still in the low-single digit in total block-hour capacity growth. I mean it is around 4%. 
Bradford Holt: That’s right. 
Operator: Our next question comes from Duane Pfennigwerth of Evercore. 
Duane Pfennigwerth: Just wondering -- apologize if you have to repeat this, but I know you are not talking about through ASM production 4Q, but did you call out kind of an earnings impact from storms? 
Bradford Rich: We gave a general number that we are trying to refine, but right now both from Sandy and the projections and what we see on the upcoming storm, we think it’s around $3 million pretax. 
Duane Pfennigwerth: Okay. Sorry to make you repeat that. And then as we think about the aircraft that you are adding and maybe some aircraft that go away, maybe you could remind us if there is anything coming off contract next year? What is unit growth for 2013? How should we be thinking about sort of nominal block hour? 
Bradford Rich: Nominal block hour growth? Okay, so we have kind of already articulated the aircraft coming in. I guess the piece we haven’t been real clear about are the just -- I think you are asking about like, natural terminations of contract flying and the net -- kind of the net impact of our fleet changes. Is that kind of... 
Duane Pfennigwerth: Yes, that’s fair. 
Bradford Holt: [indiscernible] your question, Duane? So the only thing of any significance really on terminations are the exit of aircraft coming out of the 66 airplanes in the Delta transaction. Okay? So 23 of those go into the American operation, that leaves the 41 of Delta’s airplanes which are scheduled to come out of operations, and of course we have the 34 replacements for those. What is happening in 2013 are we take the 34 additional and most of the terminations of those 41 do not happen until later in 2013. Okay? So most of the aircraft coming in are through kind of incremental growth airplanes until the fourth quarter of '13. 
Duane Pfennigwerth: So are you able to give us kind of what ASM growth or block hour growth would be, year-to-year, next year? 
Bradford Rich: So I think -- outside of the general 4% number I gave earlier? 
Duane Pfennigwerth: Sorry, I missed it, yes? 
Bradford Rich: Yes, we’ll just have to update those as we continue to get better information. And look, we’re not trying to be cagey about this. What we have seen is quite a bit of volatility in our major airline schedules. And so we would just want to make sure that we’re being careful and thoughtful in how we compile and generate these numbers. We just -- the last thing we want to do is get ahead of ourselves. So we’ll give those as we get a little more clarity. 
Operator: The next question comes from Ray Neidl at Maxim Group. 
Raymond Neidl: Just one general thought here. You are in a strong cash position, you’ve got bond capabilities, you want to enhance the value of your stock, hence the dividend and the stock buyback program. But also you said that over the next few years, you're going to have a major challenge in refleeting your operations. That's quite a number of aircraft once the scope clause restrictions are changed at your partners. I am just wondering, should you be conserving cash right now to meet those needs over the next couple of years, which would be substantial I believe? 
Bradford Rich: I think you’re spot on Ray. I mean, we are in cash preservation mode. We have stated previously that, relative to our stock buyback program -- I mean, obviously we always say that we’re going to make those conditions -- or those decisions based on market conditions and our liquidity balances and that remains true. We’ve also stated that we also, as a general rule, want to repurchase at least enough to offset our equity compensation programs. And that does remain intact and an objective. But we also are doing exactly what you said in conserving cash because of the capital that will be required to either expand or refleet. The financing market is changing. It’s become more difficult over the last few years and we are preserving cash for that situation. Look, we talked a little bit more about cash. Mike went through some of the issues here. The other thing that I think we feel confident about is that we’ve just come through a period that has had 2 fairly significant cash requirement issues. One has been the timing of the overhauls, which has obviously gotten a lot of attention and has been both a cash issue as well as a P&L issue. We are on the -- way on the back slope of that bell curve. And my point being that has been a significant drain of cash previously that we won’t have going forward. At the same time, we’ve just gone through another bell curve or beginning the down slope of a significant increase in just the timing of some prepaid rents. And both of those issues are mitigating and coming down, which should help our cash flow even further as we go into the future. So I’m feeling better about our ability to generate cash, but yes, we are in a cash preservation mode, preserving it for these fleet replacement opportunities. 
Operator: [Operator Instructions] And at this time, I would like to turn the conference back over to Mr. Rich for any closing remarks. 
Bradford Rich: Okay. It doesn’t look like we have any other questions. As always, we are very appreciative of your participation, the quality of the questions, we enjoy having these discussions.
 In closing, let me just reemphasize, we really do feel good about our positioning at SkyWest, Inc. Our operating entities are doing an excellent job. They are proving very specifically that they are very capable, that they are prepared, they are safe, that they are reliable and they are executing very well.
 In addition to that, our financial performance -- our financial positioning with our capital structure, our liquidity, add to that the strength of our people and our -- the strength and breadth of our platform nationwide, we still -- we remain very optimistic and feel very good about our positioning in this sector of the industry.
 And with that, we will go ahead and again thank you for your participation and conclude our call. Thank you very much. 
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.